Operator: Good morning. My name is Kenzie [ph] and I will be your conference operator today. At this time, I would like to welcome everyone to Canada Goose's Third Quarter 2020 Earnings Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. I would now like to turn the call over to Patrick Bourke, Senior Director, Investor Relations. You may begin your conference.
Patrick Bourke: Thank you and good morning, everyone. With me are Dani Reiss, President and CEO; and Jonathan Sinclair, EVP and CFO. After prepared remarks from Dani and Jonathan, we will take your questions. This call including the Q&A portion, includes forward-looking statements. Each forward-looking statement including discussion of our fiscal 2020 outlook is subject to risks and uncertainties that could cause actual results to differ materially from those projected in such statements. Certain material factors and assumptions were considered and applied in making these forward-looking statements. Additional information regarding these forward-looking statements factors and assumptions is available in earnings press release issued this morning, as well as the Risk Factors section of most recent annual report filed with the SEC and Canadian Securities Regulatory. These documents are also available on the Investor Relations section of our website. Forward-looking statements made on this call speak only as of today and we undertake no obligation to update or revise any of these statements. Our commentary today will include certain non-IFRS financial measures which are reconciled in the table at the end of earnings press release issued this morning and available on the Investor Relations website. With that, I will turn the call over to Dani.
Dani Reiss: Thank you, Patrick. And good morning, everyone. There are two things that I want to accomplish with this call today. Number one, I'd like to share our third quarter results to continue to reinforce our brand health and long-term growth trajectory. And secondly, I'd like to address the coronavirus health crisis and its material impact on our fourth quarter performance. So let me start with the good news. Our brand is strong and our third quarter performance results are a testament to that. I'm really encouraged about the health of our brand and as energized as ever about our long-term potential. To me, what matters the most is that Canada, Goose is driving, driving traffic and sale at full price. We are delivering best-in-class product and experience, and we are building deeper relationships with our consumers. We're not only succeeding at all of this, but excelling. This was recently reflected in the List Index where Canada Goose was included as one of the top 20 hottest brands in the world in the last quarter of 2019. To compile this list, they analyzed the shopping behavior of more than 9 million shoppers across 12,000 designers and stores online. Considering search data and online sales, as well as social media and engagement statistics. It is a great external validation of what we already know to be true. That brands strength led to strong performance. Our third quarter revenue increased by 13.2% to $452.1 million and adjusted EPS per diluted share grew by 12.5% to $1.08. This was achieved with wholesale revenue decreasing by 8.4% due to a planned and communicated timely shift. As you'll recall last quarter, we had a shift in the order book to the left, and we forecasted a mid-teen decrease in Q3. Nonetheless, we outperformed our expectation because of strong demand for reorders, further demonstrating the strength of our brand. We also grew our direct-to-consumer business by 28.3%, even though our stores in Hong Kong, which prior to the protest were amongst our best in the world were severely impacted by disruption. In what has been called a challenge retail environment in winter shopping season, the commercial energy in our stores was incredible. We continue to have frequent line-ups across our store network including our order locations such as Yorkdale and SoHo, and our new experiential store at Sherway. That ability to drive profits and full price sales also applies to wholesale. I carefully curated best-in-class partners regularly called us out as bright spots. Timely shifts aside, the fact that we have grown wholesale revenue by 11.2% year-to-date while editing down at points of distribution is a testament to how strong our brand is, and to the quality of the partners that we have chosen. While most -- while most other outdoor brands were discounting frequently throughout the season to drive business, we were not. We had a great Black Friday, one of our biggest sales days of the year without any promotions in our entire DTC channel and we saw the same strength for Cyber Monday and for Boxing Day. That tells me that we continue to offer consumers something unique, which they truly value and are willing to invest in. We are not prepared to participate in a race to the bottom with which other brands are, many of you have done your own channel checks, and you know what I'm talking about. This continued brand momentum all started with great products. We've been methodically adding depth and diversity to our offering for years. The results this season, tell us that we're on the right path. We are the top five new styles across both genders were lightweight down, which is, which is incredibly versatile product for a wide range of conditions and for requirements. We also saw the large hoodie, a core lightweight jacket that we've had in our collection for years, become one of our top sellers in DTC. There is no doubt that our strategy to move beyond just the parka [Ph] is working. In Knitwear, we also continue to see encouraging results. It is growing well above the business as a whole, with significant volume increases complemented by an additional uplift from pricing. For the first time, the category approach, double digits and a percentage of sales and number of retail stores, not surprisingly, I've seen in Hong Kong and Milan given the climates as well as Mall of America. As we all know, retail is undergoing transformation and success requires new thinking and bold moves. As I mentioned in our last call, we opened the journey and innovative new retail concept that we launched in Toronto in December which is a great example of that breakthrough innovation. We've seen an incredibly strong reception from consumers already. During a three-week period in the heart of the holiday shopping in December, over 8000 guests completed the journey. [Indiscernible] to take 15 minutes, it is a guided and intimate tour to explore the brands with digital content, interactive displays, and the next generation of our award-winning Cold Room. As they finish their journey, guests have the ability to browse and purchase the full assortment of Canada Goose online with local same day home delivery and they do. As an experimental omnichannel concept, there are a lot valuable early learnings from the journey that we're reflecting on and it has proven that an inventory free store environment can be commercially viable for us. With this format and enables our brand ambassadors to focus exclusively on guest experience, education and service. And customers get access to the full depth of our online inventory at a snap of their fingers with same day delivery. We consider this experiment to be a big success and this concept of something that we are very excited to explore further. I also want to provide an update on our supply chain, which we discussed last quarter. Now that we have sufficiently built our own manufacturing infrastructure, we're in the process of rationalizing our third-party manufacturing capacity by approximately two thirds. We expect that this will bring in-house production as a percentage of total output from the low 50s at present to approximately 70% in the next year. As we have said before, in the short term, we plan to continue to ramp up our own facilities building inventory ahead of near term growth for next year to maximize efficiency and continuity. Moving into fiscal 2021, our plan is to have inventory levels, be much more in line with sales, as total output comes down in a planned way, and we expect to see inventory normalized relative to growth by the third quarter. Now, let me address the dynamics around the coronavirus outbreak which has hit our biggest current growth market. First and foremost, our hearts go out to everyone who has been affected, and we stand together with everyone in China and the rest of the world in addressing this health crisis. To that end, we have made a RMB1 million contribution to the Wuhan Charity Federation, and we hope that our humble contribution can be of help to swiftly win this battle. The health and safety of our team in Greater China is our top priority, and we are closely watching the situation and adjusting our operations as needed in cooperation with the local authorities. I'm proud of how our team has responded to the situation. They have demonstrated incredible calm and professionalism. On their behalf, and on behalf of all of our 5300 employees around the world, I want to express our gratitude to all of the healthcare workers who are working tirelessly on the front lines, where China is incredibly resilient and we hope for a swift resolution to the situation. As it is to everyone in the luxury industry, this is obviously a major near term headwind. Understandably, people are staying home and avoiding shopping for their own health and safety in China and abroad. So we're seeing impact in our stores, and on TMall in China, and also in stores located in major international shopping destinations in Europe, and North America, due to extensive flight cancellations, and travel restrictions. While we expect this to have a material near term impact, this is a temporary disruption. Nothing about the situation impacts our fundamentals and our future growth potential remains intact. We know it will pass with time and we believe, we have the financial and brand strength to ride it out with confidence. From a supply chain perspective, we expect that any impact that may occur in the long term will be offset by the buffer inventory that we have built over the last year. Unlike many other manufacturers, our current finished goods inventory gives us high confidence in our ability to fully satisfy demand for next year. We've built an incredible business in Greater China in a short time, and we are ready to continue our rapid expansion there as soon as this is over. In closing, I believe, I deeply believe in our long-term potential and our strategy to get there. We continue to work diligently on our product extension plans, our brand is strong, and we have a solid position in all of our key markets. We already commanded the things that we can control, and we have the strength to navigate the things that we can't. And with that, I'll turn it over to Jonathan to go over the details of our financial results and revised outlook.
Jonathan Sinclair: Good morning, everyone. And thank you for joining us. We delivered robust growth in revenue and earnings in the third quarter in line with our expectations across key metrics. As we contended, with the external disruptions and the planned timing shift in our wholesale business. As Dani mentioned, the continued strength of global affinity for our brand, the glowing growing international diversity of business were pivotal for our performance. With that said, the immediate and material negative impacted the coronavirus outbreak is having the fourth quarter, just six weeks of the year left. We have adjusted our annual outlook, and I'll return to this later. I’ll now walk through the numbers detail. Please note that all the figures are as usual quoted in Canadian dollars. For Q3 compared to the same quarter last year, revenue increased by 13.2% to $452.1 million or 13.7% on a constant currency basis. Starting with wholesale, revenue decreased by 8.4% to $150.3 million or 8.1% on a constant currency basis. As we discussed in our last call, this is mainly a function of when we shipped. This year, we were able to deliver a higher proportion of total order shipments sooner than last year in response to customer requests, and enabled by manufacturing flexibility. As a result of strong in season reorders late in the period, we outperformed our communicated expectation of negative mid-teens growth. DTC revenue increased by 28.3% to $301.8 million or 28.9% on a constant current basis. Hong Kong was a very severe headwind in the third quarter. With the anniversary of IFC’s exceptional opening, and despite the opening of an additional store this year in Ocean Center. Beyond the declines in tourism and traffic, we also had to contend with frequent reductions to regular operating hours. Otter [ph], IFC had 21 days of early closures, and three days of full day closures, while Ocean Center had 27 days of early closures, and two days before day closures. Elsewhere, while we were pleased with this year's new store openings, they generally had lower revenue contributions in the quarter relative to last year. This is due to differences in the market characteristics and business patterns with doors. With the exception of Short Hills, which is a great local store, the other four openings last year at Vancouver, Montreal, Beijing and until the disruptions Hong Kong are all among the most significant top line contributors in our retail network. Looking at our fiscal 2020 opening, Sherway is experimental and experiential. Banff is our first ever store in a resort town. Edmonton is a strong, but smaller market in relative terms. With Milan and Paris as well as Banff, we also expect a proportion of sales to occur outside of our typical big season in Q3. Intuitively, this is due to high levels, international retail traffic in the markets in the summer months. With a network of only 20 stores globally, we are still incredibly underrepresented in some of the world's most important luxury retail markets. A great example of this is our new store opening in Shanghai. This was a stand -- the standout performer in Q3 from our openings this year. Shanghai is China's wealthiest and largest city by – core with over 20 million people. It's also the nation's fashion capital with a highly sophisticated global shopping. We knew going in that local demand was exceptional, thanks to the TMall on survey. At our location at the food on IFC Mall, is world class. More broadly, the post of our DTC business was great during the holiday shopping season. We believe our brand continues to define the performance luxury space, driving exceptional traffic and consumer engagement, with our stores and e-commerce sites as the destination for those who want the best product and experience. It's great to see our oldest stores and our most developed markets, Yorkdale and SoHo perform so strongly. It's well documented as our first two locations globally, they opened to a great fanfare. Three years later and during the peak season, they're going from strength to strength, with frequent lines and exceptional results throughout the quarter. Online, both Mainland China through TMall, and the U.S. led the way, growing significantly relative to last year. That momentum speaks to the incredible digital runway we have in those two major markets. Moving on to revenue by geography, we're making great progress in our evolution as a global luxury brand. While Canada is our most developed market in terms of distribution relative to the size, it is and will continue to be important with further growth potential. Informed by how the sector looks globally, we believe that we have larger longer-term growth opportunities in other parts of the world. And we're moving the needle on them, starting with Asia. Here, our top line doubled, to $94.7 million and $46.4 million, was driven by incremental revenue from expanding DTC operations in Greater China compared to last year. As a wholesale distributor market, you will also recall from previous quarters that Japan had a particularly large timing shift. Japan was not a positive contributor in this quarter, though its trajectory in the year-to-date remains very strong. Europe and the rest of world revenue increased by 11.9% on a constant currency basis. DTC performed well across the region, and drove growth. In the United States, revenue increased by 10% on a constant currency basis. Strength online and in store, offset the impact of negative growth in wholesale. Through a year-to-date lens, and adjusting for timing shifts our U.S. wholesale business has outperformed the wholesale channel as a whole significantly. We continue to be an incredible driver of full price business for our carefully curated network of best-in-class U.S. partners. Lastly, at home in Canada, revenue decreased by 11.6%. Also, revenue declined more than other regions, due to both timing and a more challenged retail landscape relative to other markets. We have reached a stage where our wholesale presence is at maturity. And so, we are looking to adjust the balance of that going forward. And although both stores and although both stores continued to produce at exceptional length [Ph] we also had tough comparisons from very strong opening periods, both Montreal and Vancouver, as I mentioned before. Moving on from revenue, consolidated gross margin was 66% compared to 64.4% last year, and that increase was driven by the change in channel mix. As expected, wholesale gross margin was flat year-over-year at 47.7%. This is a 20-bit improvement from Q2. As our comparisons have normalized versus the first half, this level is right in the mid-to-high 40s area that we want it to be in. Increases to realized prices were a meaningful and positive tailwind. We use the benefits of that to fund cost inflation and the strategic investments in product mix, with lighter weight jacket styles, riding significantly, even in our most significant heavyweight parka [Ph] quarter. From an elevated comparison at 76.1%, DTC gross margin came in at 75.1%. And pricing was a tailwind. In this case, the combined impact of higher input costs as well as higher freight costs and duties from international sale, more than offset the benefit. While this quarterly result came in under our expectations, as it is right on the mid 70s levels that we think is appropriate over the long term. The sustained growth, direct gross margins at these levels, while growing significantly in newer categories, speaks to the power of our pricing. Wholesale operating income was $56.5 million and operating margin of 37.6% compared to 40% last year. This climb was driven by the operating deleverage on SG&A given the timing shift in channel revenue to the first half of the fiscal year. Excluding pre store opening costs in both periods, DTC operating margin was 56.6% compared to 58.8% in the third quarter last year. This reflects the decline in channel gross margin already described, as well as lower contribution margins from current year store openings. Unallocated corporate expenses was $61.4 million compared to $61.3 million last year, while unallocated depreciation also raised $9.1 [ph] million from 2.5 million to 2.6 million. While we concentrated more of a marketing investment in this quarter and grow -- ahead of revenues, this was offset by cost efficiencies as well higher non-recurring cost in the comparative period relating to the backend acquisition and the secondary offering last year. Combined, this resulted in a total operating income of $161.4 million compared to $139.9 million. On a non-IFRS basis, adjusted EBIT was $163.8 million, compared to $144.7 million with a flat adjusted margin of 36.2%. And last, net income was $118 million or $1.07 per diluted share, compared to $103.4 million, or $0.93 per diluted share last year. Adjusted net income was $119.7 million or $1.08 per diluted share, compared to $107.2 million or $0.96 per diluted share last year. Turning to the balance sheet, we ended the quarter with net debt of $296.5 million. This now includes $219.7 million and lease liabilities under IFRS-16. On a spot basis at the quarter end, net debt-to-EBITDA on a trailing 12-month period remains very strong at 1.1 times. This reflects the seasonal peaking cash generation and full repayment of our short-term facilities. Net working capital was $284.7 million compared to $170.7 million in the same quarter last year. This reflects the continued build of inventory as we move more production in-house, partially offset by increases and accounts payable and accrued liabilities. Looking at the composition of our 348.1 million inventory position in detail, the vast majority is being staged from the next financial year. That captures essentially all of the more materials and work in progress in manufacturing, as well as over 80% of our finished goods given our current year guidance. I also want to provide an update on the third-party manufacturing rationalization we discussed last quarter. We are in the process of reducing Canadian third-party capacity by over two thirds. In the near term, our intention is to constantly build and stage inventory ahead of near-term growth, as we further accelerate in-house output for efficiency and continuity. Moving into fiscal 2021, as the rationalization takes effect, there will be an offset to the growth you're seeing now. By Q3 of next year, we expect to reach an inflection point with investment levels in inventory normalizing relative to growth. Now turning to our revised guidance for fiscal 2020. As I mentioned at the start my remarks, our fourth quarter performance today is being materially impacted by disruptions from the outbreak of the coronavirus in Greater China. The period going into the Lunar New Year is one of the peak shopping times for our brand. Inevitably, it performed well under our expectations and our experience last year. Those are the last major window of opportunity in the fall winter selling season. As you're well aware, throughout Mainland China, retail traffic has fallen sharply with consumers staying home and avoiding all non-essential shopping as a health precaution. This includes our most significant TMall markets, such as Beijing and Shanghai. In Hong Kong, this is another blow to a market which was already heavily interrupted. Travel restrictions have essentially cut-off all traffic from Mainland China and local activity is almost at a standstill. SARS unfortunately, it's still fresh in many memories. Irrespective of closures, and reduced operating hours, revenue is now at negligible levels across the entire store network and TMall in Greater China. Abroad, the impact is spreading globally to major shopping destinations in North America and Europe. For us, as with others in the sector, traveling shoppers from the region account for a significant share of global luxury demand, that is being largely and suddenly cut-off with flight cancellations and travel restrictions, both contributing. While our brands -- while our brand continues to be in great health globally, and is a standout performer in each of our markets, this development has caused us to revise our guidance as follows; annual revenue growth, at 13.8% to 15%, implying revenue of $945 million to $955 million. This assumes wholesale growth between 9% and 11%. Adjusted EBIT margin contraction of between 280 basis points to 330 basis points implying an adjusted EBIT margin of 21.6% to 22.1%. Annual growth in adjusted net income per diluted share of negative 2.2% to positive 0.7% implying EPS per diluted share between $1.33 and $1 37. There are a couple of factors to consider in assessing this short-term revision. It starts with the success we have had, in rapidly scaling our business in Greater China, with a revenue base that is almost entirely DTC. This makes impact more immediate and more material. We believe, that the sudden change in consumer behavior is temporary, and unrelated to underlying demand for our brand. We believe, that we are poised to resume our strong growth trajectory in Greater China, when this is over. With regard to margin and earnings, the timing is also relevant. You'll recall that we concentrated our SG&A growth investments early in the year, secure strong momentum throughout the peak season. We had expected Q4 to drive our annual operating margin inflection, as there was an offset from that spend table. With this sudden development, we lose that leverage, and we don't have enough time left in the year to make significant adjustments beyond those reflected in this guidance. In summary, our brand, and underlying business model are as strong as ever. We continue to have deep conviction in our strategy, and we're really encouraged by the progress we've made this year. Whilst we will make surgical adjustments to our forward plans as you'd expect, we won't lose sight of the long game, the phenomenal, long term potential of this brand will always be at the forefront every decision we make. And with that, I will hand back to Dani for his final remarks.
Dani Reiss: Thanks, Jonathan. I would be remiss if I didn't take this opportunity to encourage you all to check out our new Project Atigi Collection. This year's expanded collection features 90 Bespoke pieces created by 18 innovative designers from 12 communities in Canada's North, who retain all the rights to their designs. All proceeds from the sale will benefit the Inuit communities across Canada, through ITK, which is a national organization which supports self-directed Inuit education, employment and cultural preservation programs. Arctic stewardship has always been a part of our business and it is something that I'm very passionate about. We're leveraging our global platform to share any craftsmanship with the world, and to create significant economic development in the areas that need it most. Watch the space closely as we have a big long-term vision for Project Atigi, and we are just getting started. While we activate this important initiative, we also just launched our global spring campaign with newest Goose Person, Kate Upton, a renowned supermodel, entrepreneur, and actress Kate is a passionate advocate for Polar Bears and protecting their habitat. This year’s collection includes five new spring styles for our Polar Bears international capsule, including rainwear, windwear, and lightweight down options, $50 from each jacket goes to funding for critical research and advocacy. I have always believed that what is good for business must also be good for the world. So I'm really excited about how closely our commercial efforts are married to our long-standing corporate citizenship initiatives. We're doing it in our own authentic way, true to where we come from and we're doing it at a greater scale than we have ever before. We look forward to releasing our first sustainability report in the near future. And with that, I will now turn over to the operator to begin Q&A.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Erwan Rambourg from HSBC. Please go ahead. Your line is open.
Erwan Rambourg: Yes. Thank you. Good morning, gentlemen. I'm quite surprised by the magnitude of the revision of the guidance given that North America is still 60% plus of your sales. So I was just wondering if you could give us details in terms of how much Chinese consumers account for in terms of your sales? I mean, we can have a look at Asia and take a view of what Greater China accounts for. But I guess more importantly, it would be interesting to understand how much Chinese travelers account for in terms of sales in Canada and the U.S. So I don't know, if you can give us an assessment of sales by nationality, which would be quite useful in understanding this revisions? Thank you.
Jonathan Sinclair: Hi. So, I think our Gardens revision has been -- its important to understand is driven by the impact of the outbreak on our overall business in the fourth quarter having had a third quarter in line with expectations across our key metrics. In China, what we're talking about here is, that we have negligible revenue across our entire store network including Tmall. And while local demand in North American and China continues to be strong. International traffic from Chinese consumers is essentially shut off due to travel cancellations and restrictions. And for us and for the sector generally, they are the largest buyers of luxury goods. Now, while the impact is cost less severe on a unit-by-unit basis. the size of our business outside of Greater China is much larger in terms of distribution revenues, as you say. And for those reasons and this is reflected in our guidance, we also expect material revenue declines in North America and Europe. Historically, we've always said, that we have a mix of clientele. which always various by store, but on in aggregate is a 50-50 mix between domestic demand and international demand. And I think that's what you're seeing plan here.
Erwan Rambourg: Thank you. And just maybe a follow-up on wholesale, I think you mentioned that Canada was close to maturity. I'm just wondering if you could give us an update in terms of where you stand in terms of the number of doors? I think you went gradually down from 2,500 to close to 2,000 or maybe bit a below. Where do you stand today in terms of doors at wholesale?
Jonathan Sinclair: So, in fiscal 2018, we were at 22 -- fiscal 2019, sorry, we were 2200. And we were on a gradual journey of editing towards about the 2000 mark.
Erwan Rambourg: Okay. Thank you.
Operator: Our next question comes from the line of Omar Saad with Evercore ISI. Please go ahead. Your line is open.
Omar Saad: Good morning. Thanks for all the information. Appreciate the update. I just kind of wanted to follow-up on the commentary around China and the coronavirus impact. Just kind of couple questions embedded within that. Did you see a sharp drop off both in Mainland China and with the tourist business outside of Mainland Greater China. Would you see that really start to drop off post that kind of January 23 timeline that everyone's pointing to? And then I guess, if I look at your revised guidance it seems like the implied fourth quarter growth that was implied in the guidance. Previously, it was probably around plus 20 and now you looks like you're talking about minus 10 to minus 20 for the fourth quarter. Does that mean that the Chinese consumer -- did that imply with the Chinese consumer is roughly 30%, 40% of your overall base. Is that the right way to think about it including the traveling Chinese consumer? And then, are you -- last piece on -- last question on the China piece. Are you seeing any -- what's happening in with your e-commerce business in China? We've heard from a couple other players that the e-commerce business is holding up better, because people don't have to leave their homes and they can still shop online and have stuff delivered? Thank you.
Dani Reiss: Yes. I mean, in terms of the big picture, like I think that the fourth quarter was -- the impact on the guidance of the fourth quarter were directly related to China, and also to Chinese tourists traveling and the overall travel ban [ph] that have taken effect, airline cancellations and that has caused a decline in traffic overall. And also, understandably, people are staying home and not shopping, take care of their health both not shopping in stores or online as much as they were before. And that's the macro reason why our guidance changed this quarter.
Jonathan Sinclair: And I think it's fair to say that, the drop off in traffic in malls and in shopping destinations in China was sudden, dramatic and happened -- and affected the entire sector around the time we suggest. And that guides us to Tmall just as much as it does physically to the stores.
Omar Saad: Interesting. Okay. Thank you. Thanks for the color. Great job.
Operator: Our next question comes from the line of Kate Fitzsimons with RBC Capital Markets. Please go ahead. Your line is open.
Kate Fitzsimons: Yes. Hi, guys. Thanks for taking my questions. I know too early obviously to give guidance for fiscal 2021. Just given the business is facing some headwinds right now between Hong Kong and China. Dani, you've been pretty clear that Asia is a big part of the growth story go forward. You have seen tremendous growth in recent quarters despite what you're seeing right now. I guess, when we're thinking about fiscal 2021 growth plans, how is what you're seeing in the business right now adjusting how you were thinking about the growth levers into fiscal 2021? And then longer, can you just speak to your confidence that this headwind doesn't impair growth below that 20% plus three-year top line outlook you guys put out about a year ago? Thank you.
Dani Reiss: Thanks for question. I mean, we're very confident in a long term prospects of the business. I think, there's a near-term business impact and there's a long-term business impact, then obviously, it's a major headwind near-term and long term. We're very confident of the financial strength of our business. And we're poised to continue our expansion. And we're very comfortable that we're continuing to do so on the same trajectory and similar trajectory as we have been growing our business, especially in China, where we just started just over a year ago building that business unit and its growing very rapidly and it continues to grow rapidly, and there's so much runway there. We're excited to continue that growth once this crisis passes, and once we get -- we as world get through it. And I think you can point to things like the fact that we were included as one of the 20 hottest brands on the list index in the last quarter of 2019. That's I think a very important external validation of our brand and what we know to be true. On top of Asia growth we've -- we see great strength in U.S. DTC as that continues to grow. So we see a lot of really positive signs. We see really -- I think our concept store in fact that we're taking a leadership position at redefining and finding out the new generation of experiential retail, that's really important to us -- to not be complacent to continue to figure out what that is. I think that's all really important. So, once we get past this temporary and specific matter, I think, I'm very confident in our continued ability to grow.
Kate Fitzsimons: Great. Thanks so much.
Operator: Your next question comes from the line of Jonathan Komp from Baird. Please go ahead, your line is open.
Jonathan Komp: [Indiscernible].
Dani Reiss: We can't hear the speaker.
Unidentified Company Representative: We can't hear the speaker.
Operator: Jonathan Komp, we are unable to hear you. If you could remove yourself from speakerphone.
Unidentified Company Representative: We want to move to the next one and we can take Jonathan after he re-queues.
Operator: Certainly, Our next question comes from the line of Michael Binetti from Credit Suisse. Please go ahead. Your line is open.
Michael Binetti: Hey, guys. Thanks for taking the questions here. So, I want to follow-up on the coronavirus impact. It looks like you're implying margins in that business. And that was lost sales fairly similar to what we've seen from some of the other global businesses recently. But any -- I'm trying to figure out -- is that -- is the $50 million, $55 million reduction, is that concentrated in Global DTC? Or was there any -- did you lower the plan at all for wholesale that you had in the fourth quarter? It seemed like most of that would be -- seems like you're putting -- you're assuming most of that impact will happen in direct-to-consumer. It would be helpful to understand kind of what you're seeing or a few -- I don't know if you're seeing any wholesale partners cut orders in the near term this quickly considering corona really just hit the Newswires three weeks ago?
Jonathan Sinclair: Mike, this is Jonathan here. You're absolutely right. This is a DTC story. Wholesale is relatively low in this quarter. Anyway, it's all in support of our spring business. Its proceeding as planned. This is all about DTC.
Michael Binetti: Okay. I guess, I just -- I would love a little bit of help understanding some of the metrics within DTC because as the business has grown, its become a lot more complex and a lot harder for us to understand. We're trying to reconcile between dynamics like 29% DTC growth in the quarter. The store count was up 70 depending on the footage if we have it right. It looks like it might 50. Both numbers are significantly higher than the 28% total DTC growth. I know you'll reference a difference in productivity as you move out of the real power centers in Soho and things like that. But it's hard for us to understand the componentry of how the legacy stores are growing on a year-over-year basis as e-commerce growing globally within that DTC number just because of the number of lines that are feeding in there. Is there anything you can help us understand so we get a better understanding of the economics of the of the new stores as they're coming in? And you really move out of the shopping centers that are -- there's not going to be many shopping centers, right, like outside Soho with the kind of economics like that as you go forward. And I think it's becoming more important for us to understand as the store count grows bigger for you?
Jonathan Sinclair: Okay. So, two or three things. Number one, we've got 20 locations in a world where there are way more than that in terms of great prime, highly productive retail luxury locations. So, it's not a question that we're sort of going down the list as it were, and sort of only having the best stores in the first year and everything else is worse than that. So second point, inevitably therefore different cohorts of stores have different characteristics. And this year's cohorts of stores happens to have a set of characteristics, which is somewhat different when it comes to the sales densities that we experienced for a variety of reasons, and I enumerated those on the call -- sorry, in my prepared remarks. In the sense that, we've got stores which were in tourist locations. So we've got stores that are in resort locations, or experiential stores, and therefore extrapolating the sales density of the existing fleet into those and expecting that to be how the numbers manifest themselves is probably oversimplifying it as a result. And -- but that said, when we look at the future runway and the ability to grow the stores and the sales from those stores into the future, we have huge amounts of white space to grow the brand. When it comes to online, we've seen strong performance in our online pretty much around the world. I think, we've certainly seen -- we've called out the strength and performance in America. We call that the strength and performance in China, both of which are huge e-commerce markets, and both of which saw significant growth. As we get further into omni-channel, I see that as a point of leverage across the entire DTC operation.
Michael Binetti: Can I just. If corona comes and goes within the march quarter, I don't know about the timing. Is this a 20% multi-year revenue growth algorithm business as we get into 2021?
Jonathan Sinclair: For a variety of reasons, we've made the case as to why this business is a fraction of its eventual size. The impact of this terrible and sudden health crisis is temporary in our view, and it doesn't affect our view of our strategy and of the potential of this brand and our ability to continue to grow.
Michael Binetti: Okay. Thank you.
Operator: Our next question comes from the line of Jonathan Komp from Baird. Please go ahead. Your line is open.
Jonathan Komp: Yes. Apologies for the last time. Maybe just to re-ask my question. Really want to understand as you're planning the business how you're thinking about the ongoing impact from the coronavirus crisis. And as you think to the months and quarters ahead, just any more color on how to think about the seasonality as it changes, and the relative mix of the business being impacted. And then also your ability to react more from a cost or margin perspective?
Jonathan Sinclair: I think, we're being responsible in the way that we plan the business. Obviously, none of us know exactly how this plays out and over what period of time. But what we are doing is if you like looking for this through two lenses, one is our long-term growth, our long-term potential and ensuring that we are taking the right decisions to continue to grow this brand. And on the other hand we're being [Indiscernible] we are good financial stewards of the business.
Jonathan Komp: Okay. I understood. And then, if you -- no, I'm sorry go ahead, Dani.
Dani Reiss: I'll just add to that, maybe exactly what Jonathan said, I think that's for long term and a near term we're being cautious. In the long-term, I'm an optimistic person. I have a tremendous amount of optimism about the future of this business.
Jonathan Komp: Okay, great. And then just one follow-up. Both related to some of the comments around Canada and the tough retail environment and then the obviously the dynamics in China. Just when you think of the inventory you have today, is like how different is it on hand versus what you would have expected your 90 days ago? And just any thoughts about the risk of the balance of current good that you have on hand?
Dani Reiss: Yes. We're really happy with where we stand with the regards to our inventory. I mean, as we've explained and as we've planned, we've really been building out our in-house capacity, which is a core strategy of ours from beginning and we've successfully reached a point where we're very happy with our in-house facilities to a point where we're now rationalizing third-party Canadian contractors. And so, as a result of this build, we've built lot of inventory and through this rationalization, we're going to see the ratio of that inventory to sales come down, and that will become noticeable in third quarter of next year. Also as a result, we have a good amount of inventories, all of this inventories is a stage for next year. Jonathan has mentioned in his prepared remarks over 80% of it is made for next year and it's all good inventory. So, we feel like we're in a really good position especially given, the unfortunate events that the coronavirus presented to be able to deliver all the orders for next year as well with this inventory.
Jonathan Komp: Okay. Appreciate the color. Thank you.
Operator: Your next question comes from the line of Oliver Chen from Cowen & Company. Your line is open.
Oliver Chen: Hi. Thank you. As we model the gross margin on a longer-term basis, should we expect continued pressure from freight costs inflation. And as you enter newer categories the negative mix impact. We'd love your thoughts?
Jonathan Sinclair: Thanks, Oliver. I think from our point of view, nothing's changed. In the sense that we talked about tailwinds and we talked about headwinds, and our algorithm doesn't change. In other words, we don't see margin overtime going massively up or down. What we still is ourselves managing a balance in channel between the tailwinds of bringing more production in-house, pricing efficiency and reinvesting that in addressing the cost inflation of the inputs that we have, as well as in the development of our product. So, we don't see anything that's really changed.
Oliver Chen: Okay. In the newer categories, it looks like consumer reception has been really good. What are your thoughts on the inventory planning around newer categories and a different kind of risk profile as you assort to year round product versus some of your core, high margin staples?
Dani Reiss: We're really excited about how -- with the reception to our new products. And I think that the reason why that we've been able to deliver great new products in the market because of our strategy and taking our time around new products and making use of the rights of the marketplace. And we're very conservative and how we build inventory with our new products, new product offerings, which is why they build slowly, and we're -- and over time we believe that's the right way of doing it. And we have a long runway ahead of us.
Oliver Chen: Thank you. And lastly, are you thinking about M&A in terms of your strategy and what you're considering for growth opportunities and synergizing your talents?
Jonathan Komp: We're not.
Oliver Chen: Best regards.
Operator: Our next question comes from the line of Sam Poser from Susquehanna. Please go ahead. Your line is open.
Sam Poser: Good morning. Thank you for taking my questions. A couple of things. Prior to the slow down of the traffic due to the coronavirus, was there a change in the manner the filling orders that were planned from retailers that was planned for fourth quarter? I mean, was there any impact on any other thing in the fourth quarter maybe due to weather and so on that impacted your fourth quarter reduction and guidance as well?
Jonathan Komp: No. I mean, if anything what we saw was that we took more in season orders than we thought, because we guided as you'll recall to mid teens decline in Q3 in wholesale and we actually came in at 80% or so decline and the delta there was the in-season reorders. So no, absolutely not.
Sam Poser: But nothing impacting the expectations of -- so some of those reorders may have been pulled from what you're expecting in fourth quarter, but nothing else changed, just to clarify?
Jonathan Sinclair: No. And the reality was that people wanted the inventory in Q3 when they could sell it, but they were keen for it.
Dani Reiss: But on the contrary, our wholesale orders in Q3 were higher than expected. We shifted a lot in Q2, and we expected a year-over-year decline, but it was far less than we thought it would be.
Sam Poser: Thank you. And then secondly, are you doing anything with your logo, adding more black label, maybe developing other new logos going forward. I noticed that within the Soho store that there's just a relative to others as a very large swaths of black label there, but I -- and I was just wondering if you had any -- anything in the works in that regard?
Dani Reiss: Thanks for your question. We are strong advocates and believers in consumer choice and we recognize the different consumers have different taste, preferences and that's reflected in the colors of the logos that are available in markets.
Sam Poser: All right. Thanks very much and good luck.
Dani Reiss: Thank you.
Operator: Our next question comes from the line of Mark Petrie from CIBC. Please go ahead. Your line is open.
Mark Petrie: Hey, good morning. I just wanted to ask you about the relative sort of pricing levels and price increases that you've taken across the portfolio. The season, not sure if you can quantify what the overall sort of price increase would have been for this year. And sort of interested, I guess, specifically, with regards to parkas, but also then and lightweight down and you call that the success there. And then, you have been introducing many new products at the higher end of the range. I'm not talking about BRANTA, but just in terms of the core portfolio. I wonder if you could talk about the performance of those newer products at the higher end and your perspectives on pushing prices further in fiscal 2021? Thanks.
Jonathan Sinclair: I will answer your question in two parts. I'll talk a bit about pricing. And we've always talked about taking price in the mid single digits, and that's, that's something that we continue to do. That applies surgically across the product collections. And then we deploy that around the world, in line with global pricing index followed by other brands. So nothing has changed. We continue to do that.
Dani Reiss: And to follow on to Jonathan's comments with regards to us putting new products into the marketplace at higher price points. That has definitely been a strategy of ours and I'm happy. This is working extremely well for us. And we intend to continue to do so.
Mark Petrie: Okay. And then I just wanted to follow-up on the previous comment just about the trends in Q4 that there is -- there seem to be a pretty healthy inventory levels throughout the retail channel, the wholesale channel. I know, you haven't seen sort of evidence of discounting. But could you just talk about your conversations with your wholesale partners to this point, their level of sort of comfort with inventory levels today and how you see that playing out?
Dani Reiss: Yes. We have very strong and strategic relationships with all of our wholesale partners. We've always aligned ourselves with partners who share the same values that we do, and we -- the conversations are really easy because we're -- first of all, we are a brand that helps drive traffic to stores as many of our wholesale partners have called out themselves. And so, the nature of the competition are very easy. Like we're outlier and that we don't believe in being promotional and our partners share that vision.
Mark Petrie: Okay. Thanks a lot.
Operator: Our next question comes from the line Ike Boruchow from Wells Fargo. Please go ahead. Your line is open.
Ike Boruchow: Hey. Thanks for taking the question. Good morning, everyone. I think Jonathan, there's two questions for you. One, just a clarification is very simplistically. I'm curious prior to the coronavirus outbreak, given what you have in your pocket for Q3, would you guys have planned to reiterate or raise your fiscal year outlook? Or is there something else on top of that. I want to clarify that. And then when I'm digging in more on Q4 and maybe even beyond, can you just talk about the gross margin implications? Because when you think about the revenue issues, you're having a DTC. It sounds like gross margin should be should be under pressure, because of the mix of the business shifting in the more towards wholesale. But then, but then within that, I'm assuming that there's even more margin -- gross margin decline because the higher -- what I assume is a higher margin, DTC revenue within those stores in China that are going away. So I guess just any color on the Q4 gross margins and beyond as well? Thanks.
Jonathan Sinclair: Okay. So I think two things. First of all, we've been very clear that we were on track in Q3. And what's changed? The fundamental thing that's changed is this terrible situation with the coronavirus. And that is the sum total of the change in the business. That's what we're talking about here and its impact on shopping -- consumer shopping trends around the world. So, I think that's the first question you asked. As far as gross margins are concerned, we're on record of saying that we see high single -- high 40s as a for wholesale gross margin to mid 70s our DTC gross margins has the right place for this business. What you see here is exactly that. And that's something that I expect to play out over the time, I don't see any change to that. You'll see some seasonality when spring is stronger, margins for the time being a little bit weaker, when spring is weaker, because we're on seasonal, margins are a bit stronger. But fundamentally, you're looking at sort of wholesale gross margin more or less where it is. DTC margin more or less, where it is going forward. And then the optics of the business will change, as wholesale assumes a smaller proportion of our business and [Indiscernible] no, nothing changes.
Ike Boruchow: But can you comment on Q4 specifically given what's going on with DTC under pressure and China within DTC under pressure. I'm trying to understand how much gross margin pressure we should expect for Q4?
Jonathan Sinclair: I doesn't think you should be reading things into Q4, that there should be any real difference in patents of what we saw a year ago in Q4, because ultimately, to the extent people are buying, they're buying the same mix of products that they have been buying a year ago.
Ike Boruchow: Thanks.
Operator: Our next question comes from the line of Alex Walvis from Goldman Sachs. Please go ahead. Your line is open.
Alex Walvis: Good morning. Thanks so much for taking the question here. My first question is on the Canadian market. You made some comments about, challenges there. I wonder if you could elaborate and did that region fall short of your expectations coming into the quarter? Or is that embedded in expectations before? And then my second question is on the European market, a couple of openings there this quarter. Any color on performance there, and how that's changing your thinking on the opportunity in the European market? Thanks so much.
Dani Reiss: Yes, thanks Alex. I think our wholesale business in Canada is reaching a point of maturity. The retail environment here is softer than outer markets, including the U.S. and frankly, some of our partners did not have great fall winter season. And we are in the process of rebalancing our presence and ending it down and that is a natural occurrence. It's not concerning to us. Canada, is the most of all market in terms of distribution relative to size. In the immediate term, we've also -- we also have to contend with the impact of the, of the, of the current virus outbreak, industry, travel, and the effects it has on travel and tourist traffic, and that that's going to be a headwind. And none of this, none of this at all concerns me when it comes to our brand health or continued disease growth and it’s potential spent and our expansion in Canada. The commercial energy and our stores, and the consumer sentiment behind it is, -- is it remains extremely strong.
Alex Walvis: Great. And then maybe a comment on the European market?
Dani Reiss: European market remains very strong. We opened two new stores there this year, and we're very excited about that. First store Honore in Paris. And we, we see -- Europe. Europe, is in relation to all of our markets has a lower lowest percentage of DTC. So, we see a large, large amount of runway there.
Alex Walvis: Fantastic. Thanks for all the color.
Operator: This concludes our Q&A session for today. I will now turn the call back to Dani Reiss for closing remarks.
Dani Reiss: Well thank you all very much for taking the time to be here with us today [Indiscernible] times. And we appreciate your interest in and your support of Canada Goose, and I very much look forward to speaking to you again at the end of the year.
Operator: This concludes today's conference call. Thank you for your participation. You may now disconnect.